Operator: Good day, everyone, and welcome to the BioMarin Pharmaceuticals First Quarter 2025 Conference Call. Just a reminder that this conference is being recorded. I would now like to hand things over to Ms. Traci McCarty. Please go ahead, Ma'am.
Traci McCarty: Thank you, operator. To remind you, this non-confidential presentation contains forward-looking statements about the business prospects of BioMarin Pharmaceutical Inc., including expectations regarding BioMarin's financial performance, commercial products and potential future products in different areas of therapeutic research and development. Results may differ materially depending on the progress of BioMarin's product programs, actions of regulatory authorities, availability of capital, future actions in the pharmaceutical market and developments by competitors and those factors detailed in BioMarin's filings with the Securities and Exchange Commission, such as 10-Q, 10-K and 8-K reports. In addition, we will use non-GAAP financial measures as defined in Regulation G during the call today. These non-GAAP measures should not be considered in isolation from, as substitutes for or superior to financial measures prepared in accordance with US GAAP, and you can find the related reconciliations to US GAAP in the earnings release and earnings presentation, both of which are available in the Investor Relations section of our website. Please note that our commentary on today's call will focus on non-GAAP financial measures unless otherwise indicated. On the call from BioMarin management today are Alexander Hardy, President and Chief Executive Officer; Brian Mueller, Executive Vice President, Chief Financial Officer; Cristin Hubbard, Executive Vice President, Chief Commercial Officer; and Greg Friberg, Executive Vice President, Chief R&D Officer. I will now turn the call over to BioMarin's President and CEO, Alexander Hardy.
Alexander Hardy: Thank you, Traci, and good afternoon, everyone. Thank you for joining us today for our first quarter 2025 results update. We are pleased to have delivered strong financial performance and revenue growth of 15% in the quarter. On the bottom-line, non-GAAP earnings per share of $1.13 represented a 59% year-over-year increase, reflecting significant profitability expansion, nearly four times the rate of top-line growth. This performance highlights the fundamental value of our transformative medicines and the strength of our business, both of which are key attributes that distinguish BioMarin. These results pave the way for record full year performance in 2025 and boost cash generation for reinvestment in innovation and expansion. Last September, we announced changes to BioMarin's strategy and operating model. Since that time, we have been focused on implementing these changes while at the same time delivering strong growth and profitability. Looking ahead, we expect to see the continued implementation and benefits of this transformation deliver even stronger results and innovation in the coming quarters and beyond. Turning briefly to external dynamics impacting the sector, we believe BioMarin is well positioned to manage through uncertainty across a number of areas. As the preeminent innovator of medicines that treat rare conditions, BioMarin is less exposed to macroeconomic conditions impacting other sectors. Because so many of our medicines are treatments for children, we have limited exposure to policies impacting Medicare, which covers roughly only 2% of our US patient population. In addition, BioMarin's core fundamentals also provide a level of insulation from external unknowns. Increasing cash generation, our extensive global revenue base with approximately two-thirds of our total revenues originating from outside United States, along with our established global commercial, regulatory and manufacturing capabilities position us well in an evolving dynamic market environment. Moving to the specific uncertainties around potential pharmaceutical tariffs, we are analyzing potential exposure and mitigation tactics under multiple scenarios. As BioMarin's medicines address relatively small patient populations around the world, we manufacture products that address these rare indications in single locations, either in the US or Europe. Based on our current understanding, we believe that the global scope of our business model with approximately two-thirds of total revenues generated from outside of United States and a significant level of US-based manufacturing will provide some protection from potential tariff impacts should innovative medicines for rare conditions be targeted. Important to note, BioMarin has immaterial exposure to US tariffs for China, Mexico and Canada across its global supply chain operations and product sales. Turning now to potential new products and expansions. We're making good progress on our innovation strategy. I am pleased to share that we recently completed enrollment in our pivotal Phase 3 study with VOXZOGO in children with hypochondroplasia, paving the way for a potential launch in 2027. With PALYNZIQ based on the positive pivotal data we announced in April, we are on track to submit applications in the second half of this year in the United States and Europe for the treatment of adolescents. In addition, we expect to share early clinical results later this year from both BMN 351 for Duchenne Muscular Dystrophy and BMN 333, our long-acting CNP, two candidates that may provide highly differentiated treatment options for the conditions they target. Finally, we expect to fortify our internal innovation with business development as we feel that BioMarin's established global capabilities, coupled with the external environment, create opportunities that will support our growth agenda. In summary, we believe we are well positioned to manage through ongoing market uncertainty based on the global demand for our innovative medicines. Through BioMarin's strategic transformation implemented over the last year, we have set ourselves up to deliver significant value creation for all our stakeholders in 2025 and beyond. Thank you for your attention. I will now turn the call over to Brian to provide our financial highlights for the quarter.
Brian Mueller: Thank you, Alexander. Please refer to today's press release for detailed first quarter 2025 results, including reconciliations of GAAP to non-GAAP financial measures. All 2025 results will be available in our upcoming Form 10-Q, which we expect to file in the coming days. We are pleased with BioMarin's strong results across the business in the first quarter of 2025. First quarter 2025 total revenues rose 15% to $745 million compared to the same period last year. VOXZOGO's demand fueled growth with global revenue reaching $214 million a 40% increase year-over-year and continuing its strong growth trajectory since approval four years ago. Revenue from the Enzyme Therapies business unit grew 8% year-over-year to $484 million with substantial contributions from PALYNZIQ, which grew 22% compared to the first quarter of 2024. As I mentioned in February, we expect total revenues to be higher in the second half of this year compared to the first half due to anticipated order timing dynamics across the portfolio. These dynamics apply to VOXZOGO as well, with the product now available in 49 countries. While a significant volume of new patients have started VOXZOGO therapy in recent quarters through today, we note that quarterly VOXZOGO revenues looking back to Q4 2024 and anticipated trends through Q2 2025 have revenues slightly disconnected from patient growth and appearing relatively similar quarter-to-quarter. Importantly, we continue to expect VOXZOGO full year revenues to be between $900 million and $950 million which at the midpoint represents 26% full year growth. Moving to expenses. In the first quarter of 2025, non-GAAP R&D expense was $147 million and lower than the same quarter in 2024. Operating trends in the first quarter of this year were consistent with those in the fourth quarter of last year, reflecting the impact of BioMarin's R&D reprioritization. Looking ahead in 2025, we plan to increase R&D spend on our pipeline priorities and the VOXZOGO new indication. In the first quarter, non-GAAP SG&A expense of $183 million decreased year-over-year, also due to the impact of cost transformation initiatives, including reduced activities related to the company's focused ROCTAVIAN strategy announced last year. While we observed reduced expenses due to these dynamics in the quarter and noting that Q1 is typically a lower spend quarter for BioMarin, throughout the remainder of 2025, we expect SG&A expense to increase as we invest in the strategic priorities of the newly formed Skeletal Conditions and Enzyme Therapies business units. Moving to profitability, non-GAAP operating margin reached 35.7% for the first quarter of 2025, an expansion of 11.9 percentage points year-over-year. These results were driven by strong revenue performance and a spending reset as we prepare to invest more aggressively across R&D and SG&A in the coming quarters. For R&D, this will include global applications for PALYNZIQ adolescent approval, expansion of our BMN 351 and BMN 333 studies, as well as our clinical programs advancing multiple new indications with VOXZOGO, just to name a few. For SG&A, this will include investments in VOXZOGO and Enzyme Therapy global commercial expansion activities and commercial launch preparations for hypochondroplasia and PALYNZIQ in adolescents. Over the coming quarters, increased spending on R&D and SG&A is expected to result in slightly lower non-GAAP operating margin in Q2 through Q4 2025. However, we expect that quarterly non-GAAP operating margins will balance out over the course of the year to our full year non-GAAP operating margin guidance of between 32% to 33% that we reaffirmed today. Strong non-GAAP operating margin flowed through to the bottom-line, resulting in first quarter non-GAAP diluted earnings per share of $1.13 an increase of 59% year-over-year. Consistent with prior quarters, non-GAAP diluted earnings per share grew at a rate higher than revenue growth, reflecting BioMarin's focus on operational efficiency and our value commitment to shareholders. Following my comments on the timing of both revenue and expenses in 2025, non-GAAP earnings per share is not expected to be a smooth progression from quarter-to-quarter. As implied with the strong Q1 result and our reaffirmed 2025 non-GAAP earnings per share guidance, earnings per share could decrease in certain quarters compared to this first quarter but accumulate to the expected double-digit growth for the full year. Please note that while this reiteration of guidance reflects the impact of the currently enacted US tariffs, it does not reflect the impact of potential future pharmaceutical tariffs. BioMarin's increasing profitability continues to generate cash with $174 million of positive operating cash flow in the first quarter of 2025, a 271% increase over Q1 2024. This trend is expected to continue and provides the opportunity to execute on our top capital allocation priority of investing in innovation and future growth to positively impact our patients, employees, and shareholders. In conclusion, we are pleased to begin 2025 with another strong financial performance. It gives us confidence that BioMarin will continue to execute on all of the elements of our revitalized strategy. I will now hand the call over to Cristin, who will speak to our commercial performance. Cristin?
Cristin Hubbard: Thank you, Brian. The team's focus on commercial execution led to another quarter of strong growth across the business. Starting with VOXZOGO for the treatment of achondroplasia, we were very pleased to have delivered 40% year-over-year revenue growth with strong contributions from across the globe. As of the end of the first quarter, children across 49 countries had access to VOXZOGO treatment and we are making strong progress toward our goal of opening access in more than 60 countries by 2027. In the United States, we are focused on implementing initiatives targeting new patient uptake, which we expect will drive continued expansion beginning in the second half of the year. Commercialization efforts include increasing field personnel to broaden the prescriber base and implementing activities to further drive the adoption of VOXZOGO treatment. Outside of the US, we saw continued strength across all markets. Taken together, we expect these US and OUS dynamics to result in higher VOXZOGO revenue in the second half of 2025 compared to the first half of 2025. As our global presence treating achondroplasia expands with strong momentum contributed from recently published international guidelines, which recommend diagnosis and early treatment with VOXZOGO, we are well positioned to enter the hypochondroplasia market in 2027 pending support of Phase 3 data next year. We are focusing on our global launch preparations and will keep you apprised as progress unfolds. Moving to our Enzyme Therapies, we are pleased with this business unit's performance in the first quarter, where total Enzyme Therapy revenues increased 8% year-over-year. Starting with specific dynamics in the quarter, we saw continued strong growth with PALYNZIQ increasing 22% and ALDURAZYME up 40% year-over-year. VIMIZIM, our second largest revenue contributor, was uneven compared to the prior quarter, typical of ordering dynamics with our mature global brands. Now, the strength of PALYNZIQ is based on the opportunity for potent and durable fee reduction to international guideline levels. The unrestricted diet potential that PALYNZIQ offers is an important product characteristic that we think will bring tremendous value to the adolescent PKU population should we get approval next year. We are pleased with the growth of the Enzyme Therapies products in the first quarter and expect full year contributions from this important business unit to remain robust. In summary, the team executed well in the first quarter and we look forward to continued strong performance throughout the remainder of 2025. Thank you for your attention and Greg will now provide an update in R&D. Greg?
Greg Friberg: Thank you, Cristin. As Alexander mentioned, we recently completed enrollment in our pivotal study for VOXZOGO in hypochondroplasia. We will be sharing the 52 week results next year and will be seeking an approval for 2027 should the data be supportive. Also new today, we are pleased to share that we have reached an agreement with the FDA on an overall clinical development plan for BMN 333. Assuming the Phase 1 data are supportive, we plan to initiate a registration enabling study in 2026 supporting our previously stated ambition for 2030 approval date. We will continue to engage with regulators around the globe to refine our plans in the coming months. In the ongoing Phase 1 study in healthy volunteers, we've enrolled multiple cohorts and look forward to sharing initial pharmacokinetic data in the second half of the year with detailed data to be presented at a scientific venue in the first half of 2026. We're also pleased with the numerous data updates across the portfolio so far this year. In March, at the American College of Medical Genetics and Genomics meeting, we shared data demonstrating favorable safety and strong adherence in real world clinical practice with VOXZOGO in children under three with achondroplasia. No treatment related adverse events or dose interruptions were reported among the 63 children followed for up to two years. The study's safety results, including in infant as young as one month old, add to the growing body of evidence supporting early treatment initiation with VOXZOGO consistent with international treatment guidelines published in the journal Nature Reviews Endocrinology earlier this year. Also at ACMG, PALYNZIQ data demonstrating the importance of sustained Phe reduction and the positive impact this can have on health related quality of life outcomes were presented. Most notably, mood and attention scores for patients achieving sustained Phe levels less than or equal to 120 micromolar per liter were significantly better than those at higher levels, suggesting that sustained Phe in the normal range is both achievable and may provide additional benefits for adults living with PKU. These significant and sustained reductions in blood Phe levels, coupled with the opportunity for an unrestricted diet are unique characteristics of PALYNZIQ, the only enzyme substitute therapy for the treatment of PKU. These benefits demonstrated in adults with PKU give us continued confidence in the treatment profile of PALYNZIQ, including for adolescents, as supported by the positive pivotal data in the 12 to 17 year old group as announced in April. We plan to submit for regulatory approvals in both the United States and Europe in the second half of the year. Turning to BMN 351 in Duchenne Muscular Dystrophy, we plan to publicly present our first clinical update in the second half of this year, including 25 week muscle biopsy data for four patients treated at the six milligram per kilogram dose cohort. We have done extensive PK/PD modeling based on preclinical data to determine what value at 25 weeks will predict muscle dystrophin levels of 10% or higher at steady state, which we anticipate to occur out at 52 weeks or later. The model takes into account the tissue half-lives for several chemical species, including for BMN 351 for the skip product production and for generation of dystrophin protein. These values were informed by our experience with BMN 351 in preclinical mouse and nonhuman primate studies, as well as from prior human experience with other phosphorothioate oligonucleotides. The model tells us that levels at 25 weeks can be expected to rise two to three times higher by the time steady state is reached. We also want to measure how these patients feel and function. To do so, we have included several functional measures in this study, though we anticipate such measures will be most informative once steady state is reached. The next update on this program will be shared at a Scientific Congress in the second half of this year. Thank you for your attention today. We look forward to keeping you apprised of our progress as we continue to advance our high impact candidates through the pipeline. We will now open the call to your questions. Operator?
Operator: Thank you, sir. [Operator Instructions] We'll go first to Phil Nadeau, TD Cowen.
Philip Nadeau: Hi. Good afternoon. Thanks for taking our questions. Two financial ones. First on VOXZOGO, you mentioned a couple of times about, H2 being larger than H1 and also the revenue and the course through Q2 being relatively similar. We're just curious whether does that mean a decline in Q2 revenue? It does look like revenue grew a bit from Q4 to Q1. So if revenue is approximately in the intermediate between those two, maybe there'd be a down quarter Q2. And then second financial question on exposure to tariffs. I think your guidance as to the current tariff situation is very clear. Could you give us some sense of how your financials could be impacted should the US impose a 25% tariff on EU pharmaceuticals? And then maybe should that situation be retaliated against with a 25% tariff from the EU on the US? Thanks.
Brian Mueller: Thanks, Phil. This is Brian. I'll take both of those. Appreciate the questions. First on VOXZOGO, I think you heard accurately in terms of the trends you're observing, coming out of Q4 last year here in Q1 and then into the first half of this year. We had previously commented that we expected most of the VOXZOGO revenue growth to come in the second half of the year. And the first one I'd point to is what we're observing are global order dynamics, which are different from what shows up in the Enzyme Therapy business from time-to-time in the quarters would be a handful of those large bolus orders from select international customers that can either accumulate to an anomalous quarter or be missing from a quarter. It's less that and more just the dynamics of VOXZOGO being available in now 49 markets. And it doesn't take much for some of the purchasing patterns between again the end of '24 Q3, Q4 into Q1, Q2 for those to look flattish. But importantly, at the same time, we are steadily increasing patients from quarter-to-quarter. So it's just an accumulation of dynamics across all of those markets. And then we see it flip in the second half of the year when we expect revenue to increase more substantially. So that's the key VOXZOGO matter. And on tariffs, you heard accurately, because we have immaterial exposure in our business to China, Mexico and Canada. We do not have a material impact. And our reaffirmed guidance today includes any modest or immaterial impacts from tariffs in those regions. In terms of potential future pharmaceutical tariffs, we are modeling all scenarios and evaluating, all of the potential mitigating tactics. We're going to hold off on speaking to specifics, including quantifying any of those scenarios, until we have more clarity and announcements and certainty in terms of what pharmaceutical tariffs could look like. But can assure you that we're not just looking at all scenarios, but all potential levers. Many of those are in the same categories that you're hearing some of the larger biopharmas discuss on their Q1 calls. That includes global supply chain strategies, which also for us includes our global manufacturing network, managing inventory levels, our global intellectual property rights, and then lastly monitoring potential global tax reforms in connection with or in response to the overall tariffs. So we've got a dynamic global business. Our products are sourced from both the US and outside of the US. I'll share that we are a net exporter of products in the US due to our significant California based manufacturing site. And then just a reminder as well that from an overall exposure to US sales, imports, most of our sales are outside of the US. Roughly one-third of our total sales are US sales and two-thirds outside of the US. So those are potentially insulating factors should we see pharmaceutical tariffs. So we're going to hold off on speculating on any details at this time. Appreciate your interest though.
Philip Nadeau: Fair enough. Thanks for taking our questions.
Operator: The next question is from Salveen Richter, Goldman Sachs.
Tommie Reerink: Thanks for taking our questions and congrats on all the progress. This is Tommie on for Salveen. Just wondering if we can get an update on your interest and maybe timing for BD after all of the meetings that you had in January. And when we think about the data that you'll give us for BMN 333 this year. Can you maybe characterize the level of detail we'll get before you kind of present the full data at Congress next year? Thank you.
Alexander Hardy: Thanks very much, Tommie. I'll handle the question on BD and then hand over to Greg. So we're continuing to be very excited about the potential for BD, for BioMarin, based on our strong capabilities and also, obviously, the state of the capital markets. We've been approaching it very methodically. We've got a great team and capabilities in place. We've got a very clear strategy, which we outlined and communicated to the outside world last year. And we've been looking systematically at opportunities. And just to reiterate, what we're looking at is things which are completely lined up with what BioMarin is really good at. So genetically defined conditions, we're looking at clinical stage assets in particular as well as obviously earlier assets, but we've always done that. And particularly highlighting ones that are aligned with our business unit structure where we really think we have a strength and a right to win. So, yes, everything is very much on track. We continue to focus on doing at least one business development deal this year. We're looking forward to providing updates as when that makes sense. And obviously, as the market continues to develop, it only creates more value from our perspective and makes those deals even more attractive from an investor standpoint. And with that, I'll hand over to Greg.
Greg Friberg: Thanks, Alexander. With regard to BMN 333, just as a quick reminder, we have an ongoing Phase 1 study. It is in healthy volunteers, not in patients. So the primary purpose of this study, of course, will be to look at single dose safety, but also the PK profile. That is the data. Again, we're actually marching right through the study very efficiently. We're several cohorts in at this point. And we anticipate before the end of the year that we'll be able to provide a top line update with regard to whether or not that data is supportive of us moving forward. The more detailed PK data and totality of the Phase 1, we anticipate in the first half of next year, we'll be releasing that publicly.
Operator: The next question today will come from Joseph Schwartz, Leerink Partners.
Jenny Gonzalez-Armenta: Hi. This is Jenny on for Joe. Thank you for taking our question. I think for previously, you guys have mentioned that VOXZOGO has penetrated just under 20% of the market in achondroplasia as of the second quarter last year. Can you talk a little bit more about what strategies you're implementing to drive further adoption among patients? And is this something that you're going to have to reach out to physicians? And what are the main areas of possible improvement here and how you see this trending over time? Thanks.
Cristin Hubbard: Yes. Thank you so much for the question, Jenny . This is Cristin Hubbard. So a great question about the penetration of VOXZOGO. We have several strategies that we are in the process of implementing that I think will certainly help us to further drive growth. And in particular, when I think about the US market, which is our largest single market opportunity, where we're really focused on is driving adoption across all age groups. Now as we previously reported, we've had quite an uptick in numbers in the 0 to 4 population. And just to remind you that we just got that label expansion at the end of 2023. So our new patient starts have been very strong in the 0 to 4 age group, in which case, this is very well aligned with the consensus guidelines that we saw come out earlier this year, which recommends early diagnosis and early treatment with VOXZOGO. So we have strategies and tactics in place targeting that age group, starting at infancy. And then, of course, we don't want to forget about the importance of slightly older patients, so in the 5 plus age group. And that's where we're definitely still targeting. There's still opportunity there in the US to continue to target those patients. I will say that our strategies, in particular, are really in and around driving awareness of the medicine than the fact that there is a treatment option available and so we're looking at investing in initiatives that will help us there. This will, in large part, help us to expand the prescriber base. And so what we're looking at is really making sure that we're expanding the prescriber base. And this is true across various specialties. But where we see the most growth in terms of prescribers is in the pediatric endocrinologists, which is very in line with our strategies to expand there. We're also investing in increased field personnel again to target prescribers to ensure that we're driving awareness and adoption therein. And then when we think outside of the US, where we're looking at is continuing to look for those kind of access pathways, awareness pathways, but also importantly, we'll continue to open new markets, which will expand further penetration. Then I can say -- I was going to say lastly I think that all of this has really been enhanced in our ability to do this to execute in a focused manner because of the business unit structure that we put in place. This has been a really exceptional way for us to really drive into the market insights, leading to strategy and execution in a really focused and agile way. Thank you. Next question.
Operator: Thank you. And up next is Akash Tewari, Jefferies.
Zaki Molvi: Hi. This is Zaki on for Akash. Thanks so much for taking the question. Just on the DMD corrector, 351, when we looked at the recently published mouse data, it looks like there's some mild liver signals in those mouse models at the higher exposure and some inflammation in the liver and muscle in those mice. So given those safety signals, how are you thinking about your ability to dose chronically? And is there any data that you're collecting that we can see in the upcoming readout that could potentially make us more comfortable on safety? Thank you.
Greg Friberg: Yes. Thanks for the question. This is Greg Friberg. These observations or class effects for the ASO categories. And so from that standpoint, we're not surprised to see at high dose levels in some of our toxicologic studies that we're seeing some of these end organ toxicities. We're watching them very closely. And in fact, we selected a chemistry type, this phosphorothioate instead of other available chemistry classes because we do believe that this is a case where it's all about opening that therapeutic window. Again, there's two ways to address the therapeutic window. One is to limit toxicity. The other way is to drive the potency of the molecule. And we've engineered this molecule to try to really take advantage of like we talked about previously, this novel skip site and some other chemical factors, again, that get the drug where we want it to be. Those are the open questions, I think, for almost any molecule in the space and we're watching patients very closely for a variety of toxicities. We will be presenting our data from our six milligram per kilogram cohort in the second half of this year. And you can expect in addition to dystrophin assays on muscle biopsies that we would present the totality of our safety data that's available at that time.
Operator: The next question today is from Jessica Fye, JPMorgan.
Jessica Fye: Hey, guys. Good afternoon. Thanks for taking my question. So BioMarin continues to execute across the business. However, the market seems worried about long-term competition for VOXZOGO. Can you talk about how you think you can best address the market's perception of VOXZOGO's long-term value particularly beyond 2030? Thank you.
Cristin Hubbard: I'll start on the commercial execution here in the near-term. And then if you want to talk about some of the life cycle management, I think that would be probably a nice add. But thanks for the question, Jess. So I certainly recognize where you're coming from in terms of the market perception. And what I can really say is that with VOXZOGO, where we're really focused in terms of our strategies and where I think that this is going to be something that will be quite powerful for us is really focused in and around this notion of a start and stay treatment paradigm. And really getting patients to start. And again reminding everybody that our label starts at infancy, which I think is a unique differentiator here in the near-term, it's really based on our ability to helps families and prescribers feel comfortable with the growing body of evidence, which includes 6,000 plus patient years of efficacy and safety data. We've got a tremendous and I know, Greg, you can speak to some of this, growing body of evidence on the overall health benefits that go far beyond height, which I think is really important to treaters and families alike. We've got this broad label in terms of starting at infancy, which I think aligns nicely with the consensus guidelines. And importantly we have a growing footprint in countries outside the world. Reminding everybody that only 10% of the total addressable patient population is in the United States. And we have an incredible commercial footprint that goes into many, many countries. As you guys know, we're now 49 countries we have VOXZOGO access in and we're looking to build that into greater than 60 countries by 2027. So we see the growth trajectory as something that we can maintain. And as you know, we've given full year guidance to a little over 25% at the midpoint for the year and we'll continue with a 25% CAGR out into the future. But Greg I don't know if you maybe should speak to some of the life cycle options we have as well?
Greg Friberg: Yes. Thanks, Cristin. And from an R&D perspective, we are going to continue to try to leverage, again, that 6,000 patient year, it's about 4,000 individual patients and growing experience to actually put the data out there with regard to how we're improving the health and wellness of these patients with achondroplasia. We get caught up in, I think, AGV numbers sometimes, but we have to remember that the burden of disease that we really want to address are things that go well beyond that. And so data with regard to craniofacial volume, foramen magnum size, body proportionality, quality of life data and of course bone strength and bone integrity, these are the kind of data that we will, we have already put out, but we're also going to continue to grow and put out. What patients and their families want is they want a safe and dependable drug. And we think that that's exactly what VOXZOGO is. It's a targeted therapy for -- that's tailored for these patients with achondroplasia. And again, that long-term experience, we're going to continue to publish that. We're also developing the molecule and other stature related disorders. And I think we've spoken about that previously, but we think that there's an opportunity here to continue to develop the agent. We also, of course, are invested in our next-generation agent, which is BMN 333. Our goal with BMN 333 isn't just a more convenient version of CNP. It's to actually increase the free CNP exposure that we can reach in the patients. And so that recent agreement with the FDA moving forward into what a pivotal plan might look like, we see that as an incremental positive. And we're very much looking forward to the PK data that we'll see later this year. So again a lot of confidence that VOXZOGO is a safe and effective therapy.
Jessica Fye: Should we expect the same endpoint for 333 in a pivotal trial as for VOXZOGO?
Greg Friberg: So we're envisioning that we will do a comparative effectiveness study versus VOXZOGO and we'll be looking at similar endpoints to what has been studied in previous examples.
Jessica Fye: Thank you.
Operator: The next question comes from Paul Matteis.
Paul Matteis: Hey. Thanks so much for taking my questions. I had one for Brian and one clinical question. Brian, I wanted to just clarify as it relates to VOXZOGO over the past couple of quarters and what you're seeing going into 2Q. Has the net price on a global basis of the drug changed? Just curious if their price has gone down a bit as either diversified into other markets and your expectation there? And then as it relates to this 333 pivotal, that was super interesting to kind of get the color on a comparative design. Are you looking to actually show superiority? Is it going to be powerful noninferiority? I mean maybe it's too early to say, but given your conviction that higher exposure may drive greater efficacy, what do you see the opportunity to show there? Thank you.
Greg Friberg: This is Greg. Maybe I'll take the 333 question because it's a quick answer. Yes, we are looking for superiority and growth dynamics from a higher exposure of CNP.
Brian Mueller: Thanks, Greg. Thanks, Paul, for the question. Mine is likewise a quick answer because and it's a great question when you talk about demand increasing and not seeing the same correlation in revenue for these couple of quarters. We are not observing -- not seeing any pricing dynamics. It's truly just the lack of correlation market by market. That just happens to show up here in Q1 and possibly in Q2, no price factoring in.
Paul Matteis: Makes sense. Thanks very much.
Operator: The next question is from Eli Merle, UBS.
Jasmine Fels: Hi. This is Jasmine on for Eli. Thanks so much for taking our question. So what's the latest on timing for VOXZOGO and other growth disorders like ISS and SHOX? And then how quickly do you think that you could move 333 here? So would you want to wait for VOXZOGO clinical success here before studying 333 in these indications or is that something you'd want to do sooner? Thank you.
Greg Friberg: Thank you for the question. This is Greg Friberg, again. With regard to the Noonan's, Turner and SHOX basket that we have as well as idiopathic short stature, both of those protocols are open for enrollment and are continuing to progress. We anticipate that we will have data from those programs that would enable us to begin pivotal studies in 2027. So we remain on track for those goals. With regard to the role that 333 would play in additional indications, just as a reminder, we still are working through with 333. Once we've moved beyond healthy volunteers, there will be both dose ranging as well as the effectiveness studies to come thereafter. And that's the agreement, again, that we referred to with the FDA. A long way of saying that these reveals of information are actually going to line up quite nicely so that we can make decisions when we have the complete profile for 333 to determine what the future plans would be. Right now the discussions with 333 that we've been talking about have been achondroplasia related.
Jasmine Fels: Thank you.
Greg Friberg: Thank you.
Operator: The next question is from Cory Kasimov, Evercore ISI.
Adi Jayaraman: Hi. Thanks for taking our question. This is Adi on for Cory. Wanted to ask you if you can share how the US versus ex-US sales have evolved in the first quarter for VOXZOGO? And what trends do you expect to see going forward into the rest of the year?
Cristin Hubbard: Yes. Thank you so much for the question. This is Cristin. And as you know, last quarter, we gave specifics on precisely that, which is the US versus outside US revenues for VOXZOGO. And we did that strictly so we could clarify the significant contributions that come from outside the US. And given that the ex-US weight of the revenues is approximately 75% total of VOXZOGO revenues. We do expect this split to fluctuate just a little bit quarter-over-quarter. And that goes back to what Brian had mentioned about ordering patterns becoming a little bit more bumpy as we turn into a more mature brand, which is very commensurate with other products in our portfolio. But overall we expect the split today to be roughly around 75%. And in the long-term, what we expect is that it will mirror that of our other products in our portfolio, which is where you have about one-third of the revenues coming from the US and two-thirds coming from outside the US.
Adi Jayaraman: Okay. Thank you. I'll jump back in the queue for the rest of the question.
Operator: We'll go next to Gena Wang, Barclays.
Gena Wang: Thank you. I have two sets of questions. First one is regarding also the VOXZOGO franchise. So maybe the 333, can you help us understand because you have a healthy volunteer data and mainly is the PK data. How do you define that will be the top-line data you shared with us, that will be good enough that defined as a supportive to start your registration trial? And will you only identify one dose for your registration trial? And then a related question. I know there is a competitor running CNP plus growth hormone studies. Any thoughts there? We know historically, growth hormone didn't work. So maybe any thoughts there regarding CNP plus growth hormone study? And the third one, very quickly on the manufacturing side for VOXZOGO, do you have a manufacturing sites both in the US and the ex-US?
Greg Friberg: So thank you, Gena. First question, with regard to 333, you're correct. We will have PK data of all the species. So we'll have not only BMN 333, but also free CNP levels. Our goal for that study is to see multifold increases in sustained exposure levels for free CNP. And that data will then unlock what comes next. That next study, while we call it one protocol, which it is, it is a multipart protocol that involves both a dose ranging portion as well as a comparative effectiveness portion. And so in that regard, the data that we'll be revealing later this year will be the ungating to move into those patients with achondroplasia to do that dose-ranging study. To pick that final dose, again, that will be in the comparative effectiveness side. On the growth hormone side, I think, you've actually framed it quite nicely. We would not be surprised at all to see that if you combine growth hormone with CNP and achondroplasia patients, that you would see an increase in AGV at 6 or 12 months maybe even out at two years. But historically the challenge for growth hormone hasn't been about those short-term benefits. It's been about whether they translate into meaningful increases in final adult height. And as you mentioned, they've been transient. That's been the challenge. This is, of course, why growth hormone isn't actually routinely recommended by expert guidelines or regulators around the globe except for some unique regions. We also should remember that growth hormone really in this discussion of height is really not the most important measure that we should be talking about. This health and wellness of the patients is, of course, the most important factor. And we haven't seen that with growth hormone, at least to this date that the kind of evidence beyond height could be achieved in patients with achondroplasia. On the contrary, growth hormone really has added problems for patients. There's been acceleration of bone age. We've seen worsening proportionality at different times of course. I mean you just look at the label, there's cardiovascular and metabolic disturbances. And then 1 unique factor that's been brought up by some of the treating physicians, things like tonsillar hypertrophy that don't seem like they'd be a big deal in most children actually in children with airway obstruction can be a very challenging problem. So clearly, these need to be watched very closely with regard to growth hormone. What we're very pleased about with VOXZOGO is, remember, these kids aren't even growth hormone deficient. But what VOXZOGO brings is a targeted therapy. We think, again, we've demonstrated the effects on all those areas beyond height. We talked about craniofacial volume and others in a previous answer and all while maintaining bone health. That's what we think these patients need. That's what they want a safe and dependable targeted therapy for their disease.
Brian Mueller: Thanks, Greg. Hi Gena, this is Brian. I'll take your question on VOXZOGO manufacturing. VOXZOGO drug substance is sourced from the United States.
Operator: Thank you. Up next, we'll take a question from Kostas Biliouris, BMO Capital Markets.
Kostas Biliouris: Thanks for taking our question and congrats on the progress. Maybe one question for Greg on BMN 333. There is a recent presentation by Children's National Hospital at ESPE that shows that there is no really meaningful correlation between VOXZOGO PK and growth outcomes in hypochondroplasia. So given this data, I wonder to what extent will we be able to draw conclusions about BMN 333 outcomes based on the PK data that we will see in 2025? Thank you.
Greg Friberg: Thanks for your question. I think when we talk about VOXZOGO PK, we also have to recognize the challenges when a drug has about a 30 to 60 minute half-lives of actually getting the complete profile. Trough PK becomes very, well, trough PK, if you're going to measure a very low point is easy. But measuring that full profile can be a challenge. There is a fundamental difference between the PK profile of VOXZOGO and what we expect to see in BMN 333. Of course, rather than a sawtooth pattern, we expect to see much more of a continuous relief. And fundamentally different approaches with the pulsatile versus the continuous coverage make it difficult to measure, I think, between the two and compare the PK profiles. But what we can do is we can look at other long-acting CNP, both in preclinical models and the preclinical outcomes and we can ask the question about sustained levels of CNP. That's what we've modeled from our cynomolgus monkey models. And we believe that, again, if we can recapitulate what we've seen in those models against another long-acting more continuous coverage and activation of NPR2. We think that, again, by seeing multifold increases above what's been demonstrated so far, that opens the opportunity to test the hypothesis is more better. Hopefully that answered your question.
Kostas Biliouris: Thank you.
Greg Friberg: Thank you.
Operator: Mohit Bansal from Wells Fargo is up next.
Cerena Chen: Hi. This is Cerena on for Mohit. Thanks for taking our question. I wanted to ask a question about BMN 351. In terms of the muscle dystrophin data expected in the second half. Is that 10% dystrophin level the only goal that should inform the future course of action for this molecule or would you be looking at a bar for other parameters as well? Thank you.
Greg Friberg: Thanks for the question. What we will have once patients have reached the six month time point is we, of course, will have a totality of safety data and PK on a variety of species. And that includes not only the drug, but the muscle content of the drug because we're doing muscle biopsies. We'll also be able to look in the muscle at the skip product and the dystrophin. So all of those factors will be there. We have actually released an illustrative example that was connected to our release today of a model that we put forward. And that model shows us that what we're going to see at the 25, 26 week time point are dystrophin levels that when predicted out at steady state are going to rise two to three-fold. And so they'll give us a line of sight whether that 10% at steady state will be achievable. We are also measuring in the study functional outcomes, which I think is the real question you're asking. The challenge, of course, with functional outcomes is you need to wait until, of course, to reach steady state of the drug. We're looking at North Star, we're looking at six minute walk test. We're looking at stride velocity 95C, all of those measures. We do anticipate that those will take longer than this initial first look. I also want to remind the audience that this is the first data from our six milligram per kilogram cohort. We also have completely enrolled our nine milligram per kilogram cohort. Again, as in a relay race, that's trailing behind in terms of time. But our goal here is to identify a molecule that not only has potent dystrophin induction, but also can, of course, be administered safely in a chronic fashion.
Operator: Our next question is from Olivia Brayer, Cantor Fitzgerald.
Olivia Brayer: Hey, good afternoon. Thank you for the question. Greg, just wanted to clarify a comment you made earlier. Will we not see any level of Phase 2 data from other short stature indications until 2027 or could we actually start to see some initial clinical characterization and maybe select patient groups just to help derisk some of those new VOXZOGO indications? And then on the P&L, you guys are on track for over 20% EPS growth this year. Any comments on what kind of earnings power you think you could have as we get into the next few years?
Greg Friberg: Why don't I take a quick stab just to clarify. With regard to the short stature conditions, obviously, I mean, the Dr. Dauber study with VOXZOGO continues and we do expect that that data will be updated over time. With regard to our own programs, what we're publicly commenting on is that we would have information to be able to initiate our Phase 3 study in 2027. It's possible that any time proximal to that, depending again on speed of enrollment and so forth that we may have data. But we're not committing at least right now beyond the 2027 initiation of a Phase 3. But clearly we would need that data not only in-house, but we would be publicly presenting that data before we would initiate those Phase 3 studies.
Brian Mueller: And, hi, Olivia. It's Brian on your profitability question. Thanks for that. Yes, we are pleased with this strong start to the year on the bottom-line with the $1.13 of earnings per share growth. Again, we are expecting, while revenues are planning to increase in the second half of the year, we are also planning to increase investments in both R&D and SG&A over the course of the year. But by all means we are confident in the full year EPS guidance with this strong start to the year. And we do believe that will continue. In terms of earnings power, I would point you to our long-term guidance that we remain confident in, at least today, excluding any potential impact of pharmaceutical tariffs. So whether it be the goal of $4 billion of revenue by 2027 or our 40% and growing non-GAAP operating margin target next year. We didn't give long-term earnings per share guidance, but you can do the math along the trajectory of our OpEx line item goals over time and see that we are expecting significant earnings per share growth over the next several years and this year being at 22% at the midpoint of our guidance is the trajectory that we're talking about.
Olivia Brayer: Okay. Thanks, guys. That's helpful.
Operator: We have reached the end of the Q&A session. Our final question today will come from Vikram Purohit, Morgan Stanley.
Vikram Purohit: Hi. Good afternoon. Thanks for fitting me in. We just had two quick clarification questions on BMN 333. Apologies if these topics were discussed and we missed it, but just to make sure we understand. So for the pivotal program plan to initiate in 2026, would the bar for approval necessarily be superior efficacy versus VOXZOGO through the comparative effectiveness study that you're planning to run? And then secondly could you talk a bit about your plans to seek approval and define a plan forward ex-US as well? Thank you.
Greg Friberg: Yes. Thanks for the question. Just to clarify, the announcement today, again, was that we had reached agreement with the FDA and we're continuing to work with regulators around the globe. The study that we referred to that would initiate in 2026 is a combined Phase 2/3 study. And in that regard, we are doing dose ranging as well as the final comparative effectiveness versus VOXZOGO and we would be looking for a superior outcome with regard to the primary endpoint in that study versus the controller.
Operator: And everyone, at this time, there are no further questions. I'd like to hand the conference back to the CEO for any additional or closing remarks.
Alexander Hardy: Thank you, operator, and thank you all for joining us today. As we described, our first quarter performance highlights the fundamental value of our transformative medicines and the strength of our business, paving the way for record performance in full year 2025. In the face of external dynamics that are creating uncertainty across a number of areas, we think we are well positioned. We remain laser-focused on what we can control, investing in the expansion of internal and external innovation, leveraging our extensive global revenue base and our commercialization capabilities, and most importantly, continuing to deliver increasing value creation to all of our stakeholders in 2025 and beyond. We thank you for your attention. We look forward to speaking with you soon.
Operator: And once again, everyone, that does conclude today's conference. We would like to thank you all for your participation today. You may now disconnect.